Operator: Good day, and welcome to the Arq First Quarter 2024 Earnings Call. (Operator Instructions) Please be advised that today's conference is being recorded. Should you require operator assistance, you may press star zero. I would now like to turn the call over to Anthony Nathan, Head of Investor Relations. Please go ahead. 
Anthony Nathan: Thank you, Operator. Good morning, everyone, and thank you for joining us today for our first quarter 2024 earnings results call. With me on the call today are Bob Rasmus, Arq's Chief Executive Officer and President; as well as Stacia Hansen, Arq's Treasurer and Chief Accounting Officer.   This conference call is being webcasted live with the Investors section of our website, and a downloadable version of today's presentation is available there as well. A webcast replay will also be available on our website, and you can contact Arq's investor relations team at investors@arq.com.   Let me remind you that presentation remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act. These statements are based on information currently available to us and involve risks and uncertainties that could cause actual future results, performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified on Slide 2 of today's slide presentation, in our Form 10-Q for the quarter ended March 31, 2024, and other filings with the Securities and Exchange Commission. Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason.   In addition, it is especially important to review the presentation and today's remarks in conjunction with the GAAP references in the financial statements. With that, I would like to turn the call over to Bob. 
Robert Rasmus: Thank you, Anthony, and thanks to everyone for joining us this morning. I'm proud to report that for the first quarter of 2024, we maintained the strong momentum which began building in the second half of last year. Our latest quarterly performance reflects continued top line growth and improved margins driven by higher pricing and cost management. Our performance in the first quarter of 2024 versus 2023 is even more impressive given lower volumes caused by a very mild winter. These efforts resulted in the continued financial improvement to our foundational PAC business and ongoing progress related to our granular activated carbon expansion. I am also excited about signing our first granular contract. I will provide more details on this milestone event later in my remarks.   Our first quarter results evidenced the clear momentum and improvements we are delivering across the business. They also demonstrate that these changes are taking root. The best evidence of our business optimization and transformation was our strong gross margin performance. At 37%, our gross margin was more than double the prior year period. We are also proud to have delivered a 4% increase in revenues versus last year despite lower volumes due to the impact of a very mild winter and lower natural gas prices in our power generation business.   While adjusted EBITDA was negative $1.1 million, we reported our third consecutive quarter of year-over-year growth in adjusted EBITDA and fourth consecutive quarter of double-digit year-over-year percentage growth in average selling price. Adjusted EBITDA was impacted by spending $1.6 million in R&D. This represents a $1 million increase over the prior year. The increase in R&D spending was directly related to product qualification testing with lead adopters as part of our ongoing GAC contracting process. While a negative impact for the quarter, it was an investment with tremendous near and long-term benefits. It is because of these in-depth technical discussions that we were able to sign our first granular contract and are confident in our ability to precontract the entire 25 million pounds of granular activated carbon prior to beginning production.   As we've outlined previously, the performance of our PAC business is correlated with natural gas prices. This year's milder-than-normal winter led to lower natural gas pricing. As a consequence, demand for electricity generated from coal-fired power, the end market for a majority of our PAC solutions was reduced. The 6% decline in year-over-year volumes was offset by a 16% increase in our ASP versus the prior year. The increase in average selling price when combined with our manufacturing cost reduction initiatives resulted in our achieving the previously mentioned 37% gross margin.   It's also worth noting that our first quarter performance and a portion of our second quarter are generally seasonally softer quarters for our business. I am very proud of our team delivering revenue growth year-on-year while also continuing to fundamentally improve margins and profitability across the business.   From an operational perspective, we performed well, and I commend the team for their ongoing focus, operational cost management and execution efficiency. As an aside, one pertinent example of outstanding execution is the recently completed plant turnaround at our Red River facility. The plant turnaround occurs every 2 years. This year, we shut down the plant for 2 weeks to conduct regular plant maintenance and tie in certain systems and components for our GAC expansion. The turnaround was completed safely, on time and on budget. Progress is rarely linear and the sustainable improvements we are realizing are clearly evident in all aspects of our business and financial performance.   While I do not expect our PAC operations to transform to a high-growth business for us, we have made undeniable progress and are in a fundamentally different position to where we were 12 or even 6 months ago. As a result, I continue to expect that our PAC business will be cash generative for full year 2024, marking a critical achievement to the go-forward strength of our business and generation of shareholder value.   As I mentioned previously, the combination of a mild winter and low natural gas prices had a negative effect on our power generation volumes. However, low natural gas prices are not the only factor in reduced demand for coal-fired electrical power. Alternative energies such as biogas and biomethane are new and growing power sources. This is actually good for Arq and for GAC demand. Renewable natural gas must be purified before it can enter the grid or pipeline system. The contaminants removed are primarily but not exclusively sulfur. The producers must use GAC to remove contaminants. Again, another reason why we are bullish on the demand for our GAC solutions.   This provides an excellent lead into an update on our latest GAC expansion progress. Construction at our Red River facility is proceeding well, and we remain on schedule for targeted commissioning in the fourth quarter of this year. To facilitate this, I'm delighted to confirm that we are now actively commissioning our Corbin facility. Corbin is where we will produce our purified bituminous waste feedstock to be used in the production of our unique GAC products at Red River. Commissioning is progressing as planned, and we expect to conclude the process in May.   Today, we are updating our full year 2024 CapEx forecast to a range of $60 million to $70 million, reflecting an increase of $5 million to $10 million versus our previously communicated guidance range of between $55 million and $60 million. The update is driven by higher-than-expected CapEx for our strategic Red River Phase 1 expansion, specifically increased steel and concrete costs and requirements versus original estimates. Of the $60 million to $70 million in 2024 CapEx, we expect Red River Phase 1 CapEx to represent $55 million to $60 million of that amount.   Our team is working continuously and intensely to identify cost savings and execute on ways to reduce some of the overall project increase. We are making every effort to ensure that there are no further changes in our spending plan. At this point, it is logical for an investor to ask, CapEx has risen continuously for the last several quarters. What confidence do you have that there won't be further increases? And what contingencies do you now have in place in that eventuality?   The majority of the previous increases are related to poor services provided by external parties previously contracted to manage and engineer the project that I mentioned on our last earnings call. The latest increase is due to these external parties significantly underestimating certain requirements of the project. This substantially increased the scale and cost of the amount of steel and concrete needed. Based on our previous experiences, we have now included a contingency factor to our new guidance range that we hope not to require but should mean that we finally draw a line under possible further increases. We intend to fund our CapEx with a mix of cash on hand, cash generation, ongoing cost reduction initiatives, potential prepayments on GAC contracts, and a planned refinancing and expansion of our existing term loan.   Most importantly, and this is critical, even when accounting for this latest CapEx forecast, we remain extremely confident in this project having a 3-year or less payback. Simply stated, this remains a great investment opportunity that will drive attractive returns and fundamentally alter the growth trajectory and long-term prospects for our business, and we continue to believe that we will not require the sale of any equity to achieve this.   Our confidence in reaching these target investment returns are not just hypothetical. Earlier today, we announced a strategic milestone with the signing of our first ever granular activated carbon contract. The contract accounts for approximately 5 million pounds of annual GAC production or approximately 20% of our targeted initial nameplate capacity. The contract price is attractive and represents a multiple of our average PAC pricing. This is a tremendous achievement and provides third-party validation of our strategy and expanded solutions offering. The signing of our first GAC contract amplifies our confidence in both our broader granular activated carbon strategy and our specific product potential.   The contract also further derisked the strategic expansion of our Red River plant. We remain in active discussions with additional customers regarding our remaining GAC capacity. Based on those discussions, we are confident in our ability to enter into additional contracts for the facility's full 25-million pound capacity ahead of final commissioning later this year and look forward to providing further updates in the near term.   Let's now turn to a discussion of exciting and even transformational regulatory news that has been released since we last spoke with you on our fourth quarter earnings call in March. As many of you are likely aware, on April 10, the EPA issued a landmark decision to implement the first ever national legally enforceable drinking water regulations on PFAS or forever chemicals. The regulation significantly lowers permissible levels of these types of chemicals in the U.S. drinking water by over 90% from prior EPA guidance. These changes mark a pivotal moment in ongoing and increasing efforts to safeguard public health and preserve environmental integrity.   At Arq, we recognize this as a monumental opportunity. The new standards set by the EPA are expected to drive even stronger near and long-term demand for effective remediation products, particularly granular activated carbon. As demand escalates due to these stricter regulations, Arq is strategically well positioned not just to participate, but to lead the market with our unique GAC products and innovative solutions. We articulated our enthusiasm following the announcement, emphasizing that this regulatory shift paves the way for stronger demand for our products and contributes to a cleaner future with materially higher quality water in our communities.   We estimate that the EPA's new benchmarks will catalyze a 3x to 5x increase in GAC demand over the coming 5 years within the water market alone. We believe the current water sector demand is roughly 170 million pounds. At the conservative end of our estimates, this equates to total water sector demand of in excess of 500 million pounds of annual demand versus the current 170 million pounds. Clearly, this increase in demand is well in excess of current and anticipated supply. As outlined on Slide 9 of our latest investor presentation, historical market data, circa 2021, 2022, estimates a GAC supply deficit of between approximately 50 million and 115 million pounds between 2025 and 2029. Importantly, this data does not factor in the significant increases in demand driven by the EPA's recently announced regulations. We estimate that normal market growth, when combined with municipalities seeking to comply with the new EPA regulations in advance of the 2029 deadline, will potentially result in 370 million pounds of excess demand versus current supply.   With this supply and demand backdrop, we believe prices could continue to materially improve versus our business plan estimates and even the pricing reflected in our inaugural supply contract. We believe the regulatory landscape for PFAS continues to dramatically change not just nationally but globally. The level and intensity of discussions and focus on the topic is palpable, and we're proud to be at the center of this critical global initiative. We anticipate similar regulations to those recently announced by the EPA will be adopted in other markets around the world. This will further expand our addressable market and opportunities for growth. We remain dedicated to our mission of enabling customers to meet these evolving regulations through our innovative technologies.   As I noted earlier, the ongoing construction of our new 25 million pound GAC facility is progressing on schedule for commissioning in the fourth quarter of this year. This expansion will significantly enhance our production capacity and fortify our supply chain, ensuring we meet both current and future demands. While we remain keenly focused on developing Phase 1 of our strategic growth project at Red River, we are actively assessing the viability of a second 25 million pound at Red River. This remains in the planning stages, but importantly, we have already secured all necessary permits to quickly execute on a Red River Phase 2 project.   We believe the combination of market-ready product, existing site location, and necessary permits in place puts us several years ahead of any potential competition, which will undoubtedly be attractive to the market should demand and pricing improve as we expect. With that, I will hand it over to Stacia to discuss the latest financials in greater detail. 
Stacia Hansen: Thanks, Bob, and thanks, everybody, for joining us today. We delivered strong financial results during the first quarter, with revenue growing 4% year-over-year, driven largely by enhanced contract terms, including 16% growth in average selling price and positive changes in product mix, partially offset by a 6% decline in volumes. Our gross margin in the quarter was approximately 37%, more than double the 17% reported in prior year period. As a result, in the first quarter, we achieved the fourth consecutive quarter of double-digit year-over-year percentage growth in ASP and also reduced our net loss over the prior year period.   Adjusted EBITDA loss improved year-over-year to $1.1 million compared to an adjusted EBITDA loss of $7.7 million in the prior year period. Net loss was $3.4 million compared to a net loss of $7.5 million in Q1 of 2023. I would note that these improvements have come in what is a seasonally weak quarter for the company and on the back of what was a very mild winter. To achieve these enhancements against the backdrop of lower volumes as a result of contract enhancements we flagged in the second half of 2023, is especially encouraging. Again, our average selling price for the quarter improved 16% year-over-year. We continue to eliminate negative margin contracts as we focus on profitability over volume. And at the end of the first quarter have reduced loss-making contracts to roughly 3% of volumes versus roughly 24% in 2022 and approximately 13% in 2023.   Selling, general and administrative expenses totaled $7.7 million, reflecting a reduction of approximately $3.6 million versus the prior year period. Driven by a reduction in payroll and benefit expenses as well as legal and professional fees offset by a higher board compensation and rent and occupancy expenses.   Research and development costs for the first quarter totaled $1.6 million compared to approximately $0.7 million in the prior year period. Year-over-year growth in R&D was primarily driven by conducting product qualification testing in the first quarter of 2024 with potential lead GAC adopters. Based on today's GAC contract announcement, we believe this reflects a very smart use of our capital.   Overall, and on an annualized basis, our performance demonstrates our ability to operate our PAC business in a way that contributes positively to our economic position while further enabling us to pursue and execute on high-growth, high-margin opportunities with our expanding GAC business. As Bob mentioned, we fully anticipate that our PAC business will be cash generative in 2024 and with it, we'll have a much more secure foundational business on which we can add more rewarding GAC opportunities.   Turning to the balance sheet, we ended the first quarter with cash of $44 million with a change versus last year and quarter driven by ongoing strategic investments and expansion at Corbin and Red River. As Bob noted earlier, we updated our 2024 CapEx forecast to a range of $60 million to $70 million, of which Red River Phase 1 is expected to account for $55 million to $60 million. To echo Bob's comments, we remain extremely confident in our ability to fund our CapEx needs via our existing cash, cash generation, ongoing cost reduction initiatives, potential prepayments on GAC contracts, and perhaps most pertinently, our planned refinancing and expansion of our term loan, all without the requirement of further equity.   With regards to this previously discussed refinancing, I am happy to confirm that we have appointed advisers to execute this transaction and our initial conversations with potential lenders support our confidence into entering into a new agreement with enhanced economics within the next few months. Further, we expect to gain even greater flexibility with an expansion of the facility supported by our current low debt position and improved and highly attractive future cash flow profiles. With that, I will turn things back to Bob. 
Robert Rasmus: Thanks, Stacia. The first quarter marked a period of steady progress on all fronts. The sustainable improvements in our financial profile and overall profitability are evident, and I remain confident in our PAC business being cash flow positive in 2024, driven by our portfolio improvements and our ongoing cost reduction initiatives. Our focus is increasingly shifting towards executing on our GAC expansion at Red River and our ongoing transformation to an environmental technology company. We are extremely proud of our ability to enter into our first GAC contract and look forward to providing further updates on additional contract progress as it occurs.   I'd like to conclude by emphasizing our 4 key focus areas for the year ahead. First, we remain focused on maximizing the value of our foundational PAC business. We've made incredible progress on this front and have transformed the business to a cash flow contributor. As we exit the last of the remaining loss-making contracts, we will focus on entering into additional higher value markets like soil and groundwater remediation and municipal water. By enhancing our product mix, we aim to achieve higher prices, and in doing so, further improve the quality and financial contribution of our PAC business.   Second, we remain focused on winning further GAC customers and contracts. We are very proud of reaching a strategic milestone with our first contract. We look forward to delivering continued execution on this front. The market is strong and getting stronger by the day, and we remain in a prime position to help companies meet the tighter regulatory regime here in the U.S. and globally.   Third, we look forward to concluding the commissioning at Corbin this quarter. By utilizing Arq's technology for recycling bituminous coal waste, we are able to offer customers a highly differentiated solution in a fully vertically integrated supply chain that leads to differentiated cost and environmental advantages versus conventional products and methods.   And fourth, we remain keenly focused on successfully commissioning our Red River GAC facility later this year. With our first contract in place and numerous active discussions for the remaining capacity, we remain well positioned to complete the transformation of our business to an environmental technology company.   As I have said on previous quarterly calls, it is all about execution. It would be remiss of me to conclude without acknowledging the ongoing hard work of all of our employees who are committed to making Arq the safest, lowest cost and most profitable company in our industry. Our operational team continues to deliver innovative ways to make our PAC business more profitable while maintaining the rigorous high-quality standards that have made us a trusted partner for all our customers.   In closing, I am proud of all that our team has and continues to accomplish. While pleased, I am far, far from satisfied. I remain confident that the best remains ahead of us. We look forward to providing you with further updates as we have them. With that, I will turn the call back to our operator to move us to Q&A. 
Operator: (Operator Instructions) We'll go first to Gerry Sweeney with Roth Capital. 
Gerard Sweeney: I was wondering, obviously you have the contract that you announced, but I wanted to see if you could maybe discuss the market, what's going on out there, sales initiatives. Obviously, with the PFAS regulations coming down the pike, other people must be seeing this GAC deficit coming. Just curious as to how many people you're talking to, the funnel, the -- just maybe even the tone and tenor of people looking for new contracts? 
Robert Rasmus: Sure. As we've spoken in the past that the market for activated carbon in general, not just granular, is very opaque. One of the things we set out to do early on was we identified over 100 potential lead adopters for our granular product. And we -- and they were across a wide variety of industries. And so, what we did is we went out and marketed to them, brought up our technical specifications, brought them samples. And that's in essence what we did in terms of our increased R&D expense. And that helped us form an even better view of market and market demand. The market is, as we've mentioned before, is undersupplied. Demand was continuing to grow even before the PFAS regulations were promulgated. I think the best indication of demand is that we're able to contract approximately 20% of our future granular production 6 to 8 months in advance of beginning that production and that we are in very active and final stages of negotiations on several other contracts. Hopefully, that provides the color you were looking for. 
Gerard Sweeney: Yes. And also, just speaking of the contract, that 5 million pounds, reading your press release on that, it sounds as though that's actually with maybe an environmental service provider, not necessarily a water utility. And you discussed looking for different end markets, not necessarily selling entirely to the water utilities. I'm assuming I read that correctly on the environmental service provider. And is that actually a better pricing opportunity than the water utility side? 
Robert Rasmus: I think that one, we don't comment on the specifics of individual contracts, but you are correct that it is not a municipal water utility. We view municipal water utilities as a stable. Everyone knows that's where the market is and that there are going to be substantially increased needs in terms of demand to meet the upcoming PFAS regulations. But there are a wide variety of other users of granular activated carbon at what we consider even higher pricing and higher margin than what the water utility market is going to be. 
Gerard Sweeney: I would suspect that environmental side, as it's probably front and center, people want to deal with PFAS whether it's coming leachate from landfills or industrial sites. I would imagine that would, as you were saying, that probably has significantly better pricing opportunities than dare I say boring water utility market? 
Robert Rasmus: I wouldn't say the water utility market is boring because it's certainly a core component of both the powdered business and the granular activated carbon business. But as you correctly point out, there are a wide variety of uses. It's not just eliminating PFAS from municipal water treatment facilities. It also relates to groundwater soil contamination, preventing groundwater from -- that is contaminated, trapping those contaminants before they leach out of the soil and into the drinking water or into the creeks and streams and rivers of the various communities. There's also biogas, biomethane. There are a wide, wide variety of applications. And again, that's what makes the granular business so attractive. It's been turbocharged by and will be turbocharged by the EPA PFAS regulations, but that's far from the only component of the increasing demand for granular activated carbon. 
Gerard Sweeney: Got it. And then switching gears to the PAC side, obviously, multiple quarters of price expansion. I think you even alluded to in your remarks that there are a couple of lower price, lower end contracts that will roll off. Curious as to how much more opportunity on pricing there is on the PAC side. Improvement. 
Robert Rasmus: No, at some point, the pace of price increases has to abate. You can't maintain double-digit price increases forever. I wish we could, but it's certainly not realistic. But it's really a testament to the quality of our business development team, how they've been able to repackage those former loss-making contracts and get the average selling price increase. But one component of the price increase is not just better relationship management, but it's also penetrating new markets such as there still is a usage for PAC in groundwater remediation, soil remediation. And we've been able to tap these attractive new markets, which have higher average selling price than the traditional coal-fired power plant scrubbing those emissions. It's a combination of factors. It's improving the price points on our existing power generation business as well as the expansion into new markets which carry higher prices. 
Gerard Sweeney: Just curious on the PAC groundwater remediation opportunity, is that PFAS related? Or is that just other opportunities? 
Robert Rasmus: It's other opportunities. It's removing dioxins and furans and things like that, other than PFAS from the existing groundwater, or excuse me, in soil. 
Gerard Sweeney: Got it. And the final question for me. Phase 2, obviously the contract that you just announced certainly validates what's going on with Phase 1 at Red River. What would be sort of the calculus in terms of when you pull the trigger? I'm assuming when. Maybe I should say if you pull the trigger. What would the calculus and sort of gate be to make that final decision? 
Robert Rasmus: Yes, sure. It's really a combination of factors. And this is a demand pull business opportunity. It's not something we would or will not -- we're not going to build it on spec. I think we need to be fully contracted or extremely close to selling out all of our existing 25 million pounds of expansion production. We need to have clear line of sight to being able to pre-contract and/or confidence in being able to contract the second line. We would also need to ensure we have adequate liquidity and capital. We certainly wouldn't want to jeopardize our success in transforming the foundational PAC business and the growth trajectory and the cash flows of the developing granular activated line. If you think about it, one of my main goals in my roughly 9 months at Arq has been to derisk shareholders' investment while offering really a growth opportunity through the expansion into granular. Hence, our laser focus on precontracting our granular production and transforming the PAC business. What all that translates into is we're not going to go out and do some daredevil stunt to expand. We're going to continue to be prudent in terms of how we allocate capital and we grow the business. 
Gerard Sweeney: Understood. I appreciate it. That's it for me. Thank you. 
Operator: We'll turn now to Marc Silverberg with ICR for additional questions and comments. 
Marc Silverberg: Thank you. Bob, I think we're going to turn to a few questions that we received from investors overnight and earlier this morning. And so first, can you please add a bit more detail on the CapEx change that you disclosed with the earnings last night? And related to that, what would you say is the risk of a further increase to expected spending for Red River Phase I? 
Robert Rasmus: Sure. The CapEx creep is fairly simple. The number of caissons and pilings were underestimated by approximately 300%. The additional construction costs plus the increased steel and cement and the added contingency resulted in the new guidance we just gave. As it relates to further risk, I'll reiterate what I mentioned in my prepared remarks. Our team has been working and continues to work assiduously to identify cost savings and any other ways we can reduce some of the overall project cost and the cost increase. We're also making every effort to ensure that we don't have any additional upward changes in our spending plans. Those factors, plus the new contingency that we factored into our guidance range should mean that I won't be on this call next quarter announcing another increase in CapEx. I have to say, I dislike having to relay this type of information as much as you like hearing it. That being said, this is still an outstanding investment. Even with the increased cost, we foresee a 3 year or less payback. We have signed our first contract for approximately 20% of our GAC capabilities 6 to 8 months in advance of initial production. We have clear line of sight and visibility to signing additional contracts, so I still feel very, very good about this investment. 
Marc Silverberg: Great. Second question we got was related to the refinancing. You indicated that the refinancing process is underway. Given the scale of forecasted CapEx for 2024 and taking into account cash generation expected in your legacy PAC business, how much debt do you think the balance sheet can handle? And what is the maximum that you will be prepared to add in terms of potential capacity? 
Robert Rasmus: Based on our current business and factoring in projected future cash flow and the value of our assets, because I think we have an under levered balance sheet, and you look at the replacement cost of our plants is well over $500 million. What that translates into is we want to take sufficient incremental debt to really ensure the completion of the project on time and to help us maintain and ensure we have adequate overall liquidity. Any incremental debt that we take on, we would still have a very low EBITDA to debt multiple based on our 2025 EBITDA. 
Marc Silverberg: I appreciate that, Bob. Another question we received was regarding the GAC contract that was announced yesterday, and I know Gerry had asked questions regarding counterparty there. Is there any additional information you could provide in terms of the terms on the contract? And second, and related to that, maybe your confidence in contracting out the remaining capacity for Phase 1 by the end of the year as you previously targeted? 
Robert Rasmus: Sure. As I mentioned to Gerry, we don't and never will comment on the specifics of individual contracts. As it relates to pricing, I will say the pricing is attractive, and it's a multiple of our average PAC pricing. That's consistent with our business plan and our communications. And I will say that the pricing on the contract offers excellent value and returns to Arq as well as our customer. In terms of confidence, based on our current contract negotiations and the fact that we already have a signed contract for 20% of our future granular activated carbon capacity 6 to 8 months in advance, I was and I continue to remain very, very confident in our ability to contract the remaining capacity prior to production. 
Marc Silverberg: Thanks, Bob. We have one more here that we received overnight regarding volumes. Volumes were down year-over-year for the first quarter of the year. Can you provide any color on how volumes are perhaps shaping up thus far for the second quarter? 
Robert Rasmus: Sure. The first quarter was certainly tough from a volume standpoint. We've seen a nice rebound in April. May, we're what, 9 days into it has started out on a nice trajectory as well. And what we're really seeing as it relates to volume is the fruits of our efforts to further diversify our PAC business to markets other than coal-fired power plants. 
Operator: Thank you. We'll now turn back to Bob Rasmus for any additional or closing comments. 
Robert Rasmus: Thank you, Jamie. In summary, we're pleased with where we are, but we're certainly not pausing as is there's plenty of opportunity ahead for Arq. I look forward to providing further updates on our second quarter call or as events dictate. Thank you for your interest in Arq, and we look forward to speaking again soon. Thank you. 
Operator: Once again, ladies and gentlemen, that will conclude today's call. Thank you for your participation. You may disconnect at this time.